Operator: Good morning. Thank you for joining OFG Bancorp's Conference Call. My name is Gretchen. I will be your operator today. Our speakers are Jose Rafael Fernandez, Chief Executive Officer, and Vice Chair of the Board of Directors, and Maritza Arizmendi, Chief Financial Officer. A presentation accompanies today's remarks. It can be found on our Investor Relations website on our homepage in the What's New box or in the quarterly results page. This call may feature certain forward-looking statements about management's goals, plans and expectations. These statements are subject to certain risks and uncertainties outlined in the Risk Factors section of OFG's SEC filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments that occur afterwards. All lines have been placed on mute to prevent background noise. After the speakers’ remarks, there will be a question-and-answer session. Instructions will be given at that time. I would now like to turn the call over to Mr. Fernandez.
Jose Rafael Fernandez: Good morning and thank you for joining us. We had a great start to 2022, and we're extremely proud of our achievements particularly our continuous focus on helping our customer and the communities we serve. This is due in now small part, thanks to our team members and their excellent work, commitment and dedication. So let's turn to Page 3 of our conference call presentation. Fourth quarter EPS diluted was $0.76 compared to $0.66 in the preceding quarter and $0.56 in the year ago period. Core revenues total $136 million. That's an increase of 7% year-over-year as the quality continued to improve, resulting in a net provision of $1.6 million. Non-interest expenses were in line at $81 million. Pre-provision net revenues totalled $56 million, 9% greater than last year. Looking at the March 31 balance sheet, total assets grew 2.9% from the end of the fourth quarter to $10.2 billion. Customer deposits increased 4% to $9 billion. We saw continuing loan growth quarter over quarter in all three of our priority areas; 5% in commercial loans, consumer loans grew 11% and auto loans grew 2%. New loan origination was seasonally strong at $623 million. We also successfully executed on all our capital strategies. We completed $33.5 million of our $100 million share buyback program. We early terminated all our outstanding subordinated capital notes, totalling $36 million. We increased our regular quarterly cash dividend by 25% to $0.15 per common share and we ended the quarter with continued strong levels of capital. Our results continue to reflect the three main drivers of our business; consistently growing recurring net income driven by loan growth, our larger scale and investment on our people and focus on increasing digital utilization and customer service differentiation. As a result, we had a strong quarter on all fronts. We grew loans at a stronger pace than we anticipated while this is likely to moderate in the second quarter, we continue to expect single digit loan growth for the rest of the year. Deposits increased from both our retail and commercial customers. As a result, our balance sheet now is over $10 billion. Our strong highly liquid balance sheet enable us to deploy more cash into higher yielding loans and investment securities, improving our asset mix. We also paid down higher cost balance, all of this helped to expand net interest margin. In addition, we performed well from an operating perspective, giving us good momentum going forward. We continue to introduce new digital solutions. This quarter we launched fully digital processes for personal loan originations and for opening and making contributions into our IRA fund. Liquidity and credit continue to show positive trends. These positions us well to benefit from the expected rate increases by the fed. Against this backdrop, the Puerto Rico continues to show strength. Recent figures show employment increased close to 5% last year. As of March, the number of people employed is the highest since 2014 and the unemployment rate has fallen to the lowest level in several decades. The manufacturing index is up year-over-year above pre-pandemic levels. Residential home values continue to increase, and we're seeing incremental construction activity of single family housing. Overall, many of our commercial clients are experiencing higher demand for the products and services. All this continues to validate our optimism regarding the future of Puerto Rico and OFG. Now here's Maritza to go over the financials in more detail.
Maritza Arizmendi: Thank you, Jose. Please turn to Page 4 to review our financial highlights. Total core revenues increased $8.7 million year-over-year and decline $4.5 million quarter-over-quarter. The sequential decline reflect the absence of annual insurance revenue that we received at the end of last year. Interest income totalled $113 million. This was slightly higher than the fourth quarter. Interest income benefited from increased use on higher balances of loans and investment securities. It also benefited from improved gifts and cash. This was despite two fewer days in the first quarter. This day factor has the effect of producing income by $1.7 million. Interest expense totalled $7.8 million. This was $600,000 lower than the preceding quarter. Interest expense benefited from lower average balances and reduced cost of both; deposits and borrows. This was partially offset by $405,000 to write off or amortize issuance costs related to the early retirement of our subordinated notes. During the quarter we take down the $36 million balance of those notes. The notes carry a variable rate at a current cost of 3.23%. Banking and wealth management revenues were $31 million. On a year-over-year basis, revenues increased $1.7 million. This was due to higher revenues in all three lines of business; banking services, mortgage banking and wealth management. Non-interest expenses, totalled $81 million, that's $5.3 million lower than the fourth quarter. Most of that reduction is attributable to $2.4 million lift in legal reserve provisions and at $2 million adoption from a combination of items, such as operational losses, technology related expenses and training costs. Deficiency rate was 59.5%. That's an improvement from both the previous and year ago quarters. As we mentioned in our prior call, we will continue investing in our people and technology to further deploy our strategy. Return metrics also improved year-over-year and quarter-over-quarter. They also continue to be in our target range. Return on average assets was 1.48%, return on average tangible common equity was 15.88%. Tangible book value per share was $18.90. That is a decrease of $0.18 from the fourth quarter. This reflects the repurchase of 1.2 million shares of common stock and an adoption in other comprehensive income, partially upset by an increase in return annual. Please turn to Page 5 to review our operational highlights. Average loan balances, totalled $5.52 billion. That is an increase of $67 million from the fourth quarter. End of loans held for investment increased $145.4 million. The increase reflects new Puerto Rico and US commercial loans and auto and consumers loans partially offset by a decline in mortgages and PPP loans. Loan yields -- loan yield was 6.69% a seven basis point increase from the fourth quarter. New loan originations were $623 million. This was nearly level with the first quarter. It was also $97 million higher year-over-year. We continued to see high levels of auto lending, commercial lending in Puerto Rico and US and increased demand for consumer loans. Please keep in mind, year ago production included $126 million in PPP loans. During the quarter, as interest rates move up, we opportunistically increased our investment securities portfolio. The average portfolio increased 6% from the fourth quarter and of the year balances increased $363 million. Average core deposits totalled $8.8 billion. That is a decline of $275 million from the fourth quarter. That primarily reflected [ph] that occurred at the end of last year. As Jose mentioned, deposits rebound over the course of the quarter. End of period core deposits increased $375 million from the end of last year. Core deposit costs continue to fall. There were 25 basis points in the first quarter. There is a reduction of one basis point from the fourth core. They have now fallen 44 basis points from the first quarter of 2020. End of speed of borrowing fell to $28 million from $65 million. The decline reflects the paydown of $36 million of subordinated notes. This follow the fourth quarter paid down of $33 million of 3% for home loan bank advances. Average cash balances, totalled $2 million. This is a decline of 19% or $481 million from the fourth quarter. End of speed of cash balances total $1.86 billion. There is a decline of 8% or $168 million. North of the end of steep decline reflects through deployment of cash into loans and securities and pay down of subordinated notes and paying for share repurchases. Net interest margin expanded 29 basis points from last quarter to 4.47%. This was primarily due to improve asset mix of loans and investment volume make up a higher proportion of assets. Please turn to Page 6 to review our credit quality and capital strength. Asset quality metrics continue to trend positively. First quarter net charge off total $577,000. The next charge off risk fell to four basis points. NCOs included at $2.8 million, loan recovery from an acquired PCD commercial loan. They also included a $1 million recovery as part of the final settlement of the sale of nonperforming mortgage funds that we transferred to process last quarter. This compares to fourth quarter net charge of $32 million and an NCO rate of 2%. Fourth quarter net charge off includes $30 million related past due loans transferred to held for sale during last during. Daily and total delinquency rates were 1.97% and 3.17% respectively. Total NPL rate, including PTB [ph] was 1.49%. All three of these metrics fell compared to the -- compared to the previous and year ago quarters. As a result, provision for operating losses was $1.6 million compared to $7.2 million in the fourth quarter. The first quarter included $3.7 million related to growth of loan balances. $4.2 million in this for our commercial loan previously placed in non-accrual and a $5.7 million reduction in quality adjustment due to improved economic conditions. This reduction was mainly due to improved employment situation of costs. Our macroeconomic scenarios remained the same. Our allowance coverage was 2.4% on a reported basis. The CET1 ratio was 13.24%, the tangible common equity ratio was 9.54% and holders equity was $1 billion. All three metrics were lower than the previous and year ago quarter. This reflected increases in assets -- in total assets and the common stock buyback partially offset by increased in retail earnings. Now back to Jose.
Jose Rafael Fernandez: Thank you, Maritza. Please turn to Page 7 for our outlook. As I mentioned earlier, the Puerto Rico economy continues to show strength on employment, employment participation, manufacturing, residential home values. They're all moving in the right direction. Our commercial clients are experiencing a higher demand for the products and services. Consumer demand also remained strong and at long last Puerto Rico has exited bankruptcy. But as the rest of the world is experiencing, we're also of seeing higher prices due to supply chain disruptions and the effects of the war in Ukraine. Although it is too early to quantify their impact for now, the high levels of reconstruction and stimulus funds are serving as a good cushion to dampen the negative effects. Puerto Rico's economy should continue to grow and Puerto Rico and OFG should perform better on a relative basis than the states or mainland banks. With this environment as a backdrop, we will continue to execute the strategies that have been working for us so well, mainly taking advantage of the growing economy, growing loans, investing in people and technology, speeding our digital transformation and enhancing the customer experience. We at OFG are more than ready, thanks to all our team members for the continued dedication and commitment. With this, we end our formal presentation. Thank you all for listening. Operator, please start the Q&A.
Operator: [Operator instructions] Our first question comes from a Alex Twerdahl from Piper Sandler. Your line is open.
Alex Twerdahl: Hey, good morning.
Jose Rafael Fernandez: Good morning, Alex. Good
Alex Twerdahl: Well, first off I was hoping Jose, maybe you could expand a little bit on what drove the commercial loan growth that we saw in the first quarter. And then you talked about maybe thinking that, that might moderate a little bit as a year goes on. What, are you seeing out there in terms of the pipelines and what makes you think that that growth is going to slow against the backdrop and what you said about the economy being strong?
Jose Rafael Fernandez: Yeah. So let me start by repeating a little bit of what I, what I said in the call earlier. And that is our first quarter was very strong. We, had a great start for 2022 and really it's the first quarter that we have in many years where we have such strong performance. Typically the first quarter of the year is a slower quarter in terms of particularly commercial loan production. So we're really excited about our results and the loan generations and loan originations that we had throughout the quarter. So I would give you some color in terms of how we are, first of all, which industries, we are seeing some opportunities and then I'll give you a little color also on the outlook on how we see commercial going forward. Both most of our commercial loan originations in the quarter, and really in the last three or four quarters have been pretty much focused on hospitality, trade and services, some manufacturing, certainly construction services now mostly on the infrastructure, but we're seeing also businesses building up and we've been seeing that throughout the last several quarters building up their capacity and coming to us for financing and, to some degree health services too. So, we're seeing that and that is across the different buckets on the commercial market here. When I say a different bucket, I'm referring to small businesses and mid-sized companies. Those are the industries that we're kind of focused on and we've been able to serve those customers. So, when we look at long growth and what we saw this quarter, my formula, right, our production was above our expectations. We had very few pay downs, utilization of the lines of credit for working capital, etcetera. They're still running at a significantly lower level than normal. So they're still put it in the system and our pipeline coming in into the fourth quarter, as I mentioned on the call quarter ago was pretty strong. So we deliver on the production and now when you look at the next several quarters, we see pay downs staying relatively neutral. Maybe we have a couple, but because usually there is a little bit of a movement there. We expect line utilization to slightly start moving up and starting to increase and our pipeline remains strong. So our commercial loan origination outlook continues to show strength and we're confident that the rest of the year we will be able to deliver. So that's a little bit of how we see the commercial side of the business and really excited, really excited on how we have been able to be close to our customers and attract new customers too.
Alex Twerdahl: Right. It seems like everything you just said was pretty optimistic about the pipeline and the state of the industries that you're serving, how come the guidance is only single digits given that that commentary?
Jose Rafael Fernandez: Well, when I said -- when I say, when we say for the rest of the year, a single digits loan growth, we have to take into consideration that we still have a residential mortgage book that we will have. We expect to have lower originations there and as you know, we originate and sell. So we have that book of business is going to show continue down trend. We had a very strong consumer and auto also levels of loan originations in the quarter. It would be difficult to replicate that going forward. It doesn't mean that it's going to go back to levels that are significantly lower, but, we have to think of where do we start kind of plateauing in terms of the levels of religion. So that's kind of how we swing it, Alex. I hope we're wrong. I hope we can keep on growing at the same rate, but you guys know me, I'm trying to also be cautious on the outlook.
Alex Twerdahl: Got it. And does anything change with the mortgage model just given, the move up in those rates? Do they become something that you would consider putting on balance sheet?
Jose Rafael Fernandez: We have yet not to decide on that. We, continuously look at it. Remember with the acquisition of Scotia Bank, we bought a very pretty large servicing book. So we have a lot better critical mass on the business. So yes, it's something that's on the table for us to decide. Remember we also -- the FHA loans that we originate, we securitize, and we booked them on the investment portfolio with north of 3% yield. So it's not like we sell everything and not keep anything on the balance sheet. We keep it on the investment portfolio, the FHA loans. So we still have the rest of the agency paper that we need to decide how we want to manage it going forward. But as of now, we are continuing to originate and sell and generating the fee.
Alex Twerdahl: Okay, great. And then just talking about the impact of these rate hikes that we're now seeing and expecting, I read my notes at about 60% of commercial loans float with prime. Can you just confirm that number for me, and then just maybe give us some thoughts about rate sensitivity and how you plan to manage the balance sheet through these rate hikes?
Jose Rafael Fernandez: So 60% of our commercial loan book is viable, not necessarily prime, but a mix of prime and LIBOR or slash the alternative, which is -- but, again, we're transitioning the LIBOR thing to mostly prime. So I just want to just comment on that a little bit, just to be precise. So 60% is, is relatively is variable rate. Okay. In terms of interest rate increases by the fed as everybody's talking about it you saw our 10-K and our shocks and how we are well positioned to benefit from it. Certainly we have $2 billion in cash in addition to the 60% viable commercial book. So we'll definitely be benefiting from rate increases and this quarter is really not showing any of that benefit yet. So we're really looking forward to how everything plays out and our outlook is pretty optimistic in terms of the benefits of the rate hikes.
Alex Twerdahl: Yeah. During the quarter you guys purchased a pretty good slot of securities, looks like it happened mostly towards the end of the quarter. Just given that the 10 years now approaching 3%, can you talk about sort of the cash management strategy over the next couple quarters, especially with the prospects of potentially some pretty strong commercial loan growth.
Jose Rafael Fernandez: Yeah. So we did get our feet wet a little bit deeper this quarter at the end, just benefiting from a significant repricing on the investment side of the equation. So, we benefit from that. At the end of the quarter, we will look at it on a monthly basis and we are pretty much close to that dynamic and we'll make the appropriate decisions in terms of asset mix. The reason why we are very optimistic is because we're seeing how our asset mix is transitioning very nicely towards a higher yielding asset base and the reason for that is you nail on the -- hit on the nail by the cash. So our first option is cash going to loans. Our second is cash going to investment securities. So it's all in part of the equation, Alex.
Alex Twerdahl: Okay, great. Thanks for taking my questions. I'll get back with you.
Jose Rafael Fernandez: Thank you, Alex. Have a great day.
Operator: And our next question comes from Kelly Motta from KBW.
Kelly Motta: Hi, good morning. Thanks for taking my question.
Jose Rafael Fernandez: Hi, welcome to our call.
Kelly Motta: I'm so happy to join.
Jose Rafael Fernandez: Thank you, Kelly
Kelly Motta: Great quarter. I believe on your last call you've guided to efficiency in the low 60% range in the quarter, but you had some nice NIM expansion and expenses were well controlled and you dipped down below that in the first quarter. As you look out for the remainder of the year, I know you're making some investments in tech is the low 60% efficiency ratio still a good outlook for this quarter or for the remainder of the year, or should we be thinking of maybe lower and if maybe if you could also tie that into some of the pushes and pulls of expenses as we look out to the remainder of the year, that would be really helpful. Thank you.
Jose Rafael Fernandez: I'll let Mari to answer that question.
Maritza Arizmendi: Hi, Kelly, how are you?
Kelly Motta: Hi, good. Thanks.
Maritza Arizmendi: So, how we see with expenses this first quarter we still haven't reflect the full effect of our deployment in our strategies as this, I see this as timing matter, as we continue deploying into technology in are people we will see levels of capital assets and expenses to go up and we still have the same plan that we share with you during the last quarter. We'll continue investing in our capital assets as well as expenses to grow.
Jose Rafael Fernandez: And if I can add a little bit here too, we are very much cognizant of how well positioned we are for a hiking interest rates. So going back to your point about efficiency ratio we do see a -- we realize that interest rates are going to have it very positive effect on us and our results. So we just want to make sure that we have the flexibility to take advantage of accelerating some of the investments that we need to make above and beyond what we have planned, just because we want to make sure that we take advantage of the environment we're operating in right now. So as Maritza says, we're sticking our low sixties efficiency ratio for the time being in spite of the two variables that move that number working on our favor.
Kelly Motta: Got it. That's really helpful. Switching to the NIM, it looks like you had some nice expansion, low yields and the rate hike was towards the end of the quarter. So I was just wondering if that was a function of mix, how spreads are holding up and how confident you're able to continue to expand loan yields from here beyond just the rate hikes.
Maritza Arizmendi: Well, Kelly, the end of this quarter, the 20, 21 basis point that increase the NIM 16 basis points relates to asset mix. So it's more by the change in our assets mix having more long term and investment portfolio in the earnings asset side.
Kelly Motta: Got it. That's helpful. Maybe a last question for me. You had really strong deposit growth. I believe some of that was from the exit toward the end of 2021 coming back. As we look and as you continue to gain share in Puerto Rico, wondering how we should be thinking about that line, because there is still quite a bit of liquidity, but I would imagine not so much growth as we've seen in the past year as people start looking for credit. Can you, I know it's hard to have a crystal ball, but maybe some thoughts about the cadence of deposit growth going forward.
Jose Rafael Fernandez: So we, kind of got back on track in this quarter after we managed a little bit the balance sheet down last quarter, as we mentioned quarter ago. What we're seeing here in Puerto Rico is maybe not the same levels of liquidity on the consumer side and the businesses as they have started to deploy it. But we're also seeing like for example, the child tax credit in Puerto Rico, it's having its effect in this first quarter and continues to have that effect as the tax season just ended. So Puerto Rico, that's a big number and because we use not to have the benefit of the child tax credit as the rest of the states would have had it and now we are in parity with the rest of the states. So this first quarter, first half of the year, we're seeing that as a another positive in terms of deposits, but certainly the rest of the year in our models, it does not replicate the positive growth that you've seen on years before given the liquidity from the stimulus in the pandemic. And then going to the earlier part of your questions regarding the $10 billion, we're at $10.2 billion, this is the first quarter. Let's see how everything plays out in the next several quarter, but our goal and our expectation is to grow and we want to break the $10 billion and we want do it with the right asset mix so that we can increase our margins and increase our profitability and in the past, we were trying to be a little cautious because keeping money in cash was not generating a positive return. It actually was returning us a negative carry. So, now that we're seeing, and we've been seeing incrementally in this quarter, we saw the loan growth, we're certainly looking forward to grow the balance sheet.
Kelly Motta: That's really helpful. Thank you so much. And I will step back.
Operator: [Operator instructions] Our next question comes from Brett Rabatin from Hovde Group.
Brett Rabatin: Hey, good morning, everyone.
Jose Rafael Fernandez: Hi Brett, how are you? Good morning.
Brett Rabatin: Good. Congrats on a good start to the year. Why don't to first talk about the fee income for the quarter and the outlook. You usually have a little bit of seasonality in the first quarter with banking service and wealth management. Mortgage banking obviously held in due to servicing, but was hoping to get some color around the seasonality of those other two line segments in the first quarter, and then how meaningfully they bounce back if so during the rest of the year, and your thoughts generally on driving those two lines on the income statement.
Jose Rafael Fernandez: Yes. Fourth quarter on a fee income basis is really strong for us. So the comparison with the first quarter as you pointed out has some seasonality. So we are seeing banking services continue to trend positively. We see our customer’s utilization of our banking services, continuing to increase. We're adding new customers and we are growing the different services, particularly in the commercial, small commercial and mid-size kind of commercial clients. Certainly on the consumer side too. On the wealth management side, I think it's too early to tell in terms of how it's moving forward. We think it's moving positively. I think higher rates will help that business as we start to see some consumers and commercial clients starting to think about moving money from deposits to investments and we have a pretty strong legacy business there that can benefit from that, but it's still too early in the cycle. So those that's how see that. We see insurance as an important business for us and one that continues to show some growth, particularly on the cross-selling that we do with commercial clients and consumer clients on the different loan businesses that we have on the mortgage side, as well as on the consumer side and commercial, And lastly mortgage banking, mortgage banking, I mentioned on the call that we were seeing slowdown in leverage on the origination side, but we also have now a $7 billion or $8 billion servicing book that with higher rates and we should be doing well there too. So we're excitedabout how those different lines on the fee income side are trending and how would that complement the rest of the income statement from the loan side and the investment side? So again, we're pretty happy.
Brett Rabatin: Okay. That's good color. And I wanted to circle back to you talked about in the outlook, the inflationary pressures that many are seeing and I think early on one of the pushbacks around Puerto Rico is that the inflationary pressures might disproportionately affect the consumer base there versus the mainland and obviously the economic stats haven't wore that out at all. And I continue to be surprised with the resiliency of the auto sales, which are up again this year for the first three months year-over-year, again, I guess, Puerto Ricans just drive them into the ocean and go buy another one. Wanted just to get any color that you have on where you're seeing the inflationary pressures and as a part of that also wanted to ask about how many vacancies you have from a personnel perspective due to competition from the mainland and having inflationary pressures might be affecting your own merit increases this year as well.
Jose Rafael Fernandez: So I'm not sure if I heard you well on the second part of your question, I believe you are asking me about US banks doing business in Puerto Rico and competition here in Puerto Rico in general. Correct.
Brett Rabatin: Just, I know, that with remote work, there's Puerto Ricans that can now work in the US and do it remotely in Puerto Rico. And so there's competition for talent. So I was trying to get a sense Jose Rafael, what, how many, maybe job postings you had open, how many jobs you were hoping to fill this year? This kind of just…
Jose Rafael Fernandez: Understood.
Brett Rabatin: Yeah, go ahead. I'm sorry.
Jose Rafael Fernandez: Yeah, so, let me just start by saying that recruiting is a tough, it's a tough business as it is in the states also given the great resignation and all that, but having said that we are seeing those trends normalizing and we saw a lot of pressure last year on the kind of individual contributors in the bank, meaning at the branch level or the call centers, we did make the salary adjustments and we made the different compensation adjustments that were needed to be done to make sure that we stabilize that, and we're starting to see those trends stabilizing. We're not seeing any high quality big contributors turnover on the managers side or senior manager level. So on that side, we're fine. But, if we are going to be transforming as we are, have been doing for many years, we need to have continued to look out for talent and upgrade our skills internally and that is something that we're very much focused on and we look at the US as well as the Puerto Rico market to attract that talent. So that's kind of what I -- what kind of color I can give you regarding that Brett. Can you remind me the first part question?
Brett Rabatin: Oh, just the inflationary pressures that, you might be seeing where they're showing up in the economy, the statistics don't really bear out any kind of pressure at this point, but I assume as year progresses, those will start to show up in some form.
Jose Rafael Fernandez: Yeah. So I would say, you need to be, as everybody else in the world is inflation is a factor and the cost of living in Puerto loop is going up and the housing market is pretty strong, and the pricing are going up. So it's very -- it's too early to quantify it as I mentioned, but those are areas that we need to be cognizant of because, our consumers and businesses are paying higher prices for the goods that they consume and for the services and the goods that they provide and to be able to offer to customers. So at the end of the day, the fed needs to get going and that's what they're telegraphing to everybody. So hopefully we have we have a soft landing in the next year and a half.
Brett Rabatin: Okay. And then lastly, wanted to just circle back to the margin discussion and as I look at it, if you just take the static balance sheet I know that, there's obviously changes that are going to affect the outcome, but it would seem to me that a 50 basis point hike would raise the margin by about 15 basis points. And, would you have any pushback on that, any color that you'd want to say positive or negative relative to that number.
Jose Rafael Fernandez: So the margin, Maritza, we're not hearing you well, Brett, that's kind of the problem we're having, but if I understood the question correctly, I'll repeat it so that Maritza can respond to it, regarding the margin and if we expect a 50 basis point increase by the fed, Brett is saying that our net interest margin would be impacted positively by 15 basis points and he wants you to confirm, or just give some color regarding that.
Maritza Arizmendi: I think that at the end Jose mentioned it before in the call in one of the questions we saw our 10-K we are very well positioned for a rate hike. The stock analysis of 100 basis point put us in positive 9% maybe there is in income increase. So, I don't know how to get into your equation, but from there, you can know that it would be a relatively important impact for us, any move in the market rates.
Brett Rabatin: Okay.
Jose Rafael Fernandez: Brett, you can't get more color from Maritza on than that. I'll tell you that much.
Brett Rabatin: Okay. Thanks. And sorry. I'm hard to hear. I might have a bad connection.
Jose Rafael Fernandez: That's fine. That's fine.
Operator: And our next question comes from Timur Braziler from Wells Fargo.
Timur Braziler: Hi, good morning. Just wanted to, follow up on a couple of questions. Maybe looking at the strength that you're seeing within the consumer segment and within the auto segment, how much of that is still being driven by stimulus and the child tax credits. And I guess what does normalized consumer demand look like and how far away are we from reaching that level?
Jose Rafael Fernandez: Yeah. That's a very good question because remember this is unchartered territory because of the stimulus, but for Puerto Rico in particular, is additionally unchartered territory, because we are just coming out of two decades of economic contraction where consumers were very much squeezed. So thinking that the consumer is going to level off at pre-pandemic levels or at levels before the pandemic significantly earlier in the pandemic, I think it's not, what's going to happen. Our expectation is that the consumer is going to start levelling off some time at the end of the year. And we are very much focused on how is that behaviour moving right now and, but we should end up at a new normal if you want to call it that way, in terms of consumer in Puerto Rico, given the velocity of money that continues to be acting in the Puerto Rico economy. And in addition to that, the reconstruction funds that are even though they're not coming in at the pace that we would desire in reality, we see that as a blessing in disguise, not from a quality of life perspective, but from a capacity perspective, because with all the things that are going on in terms of building the economy back and building the infrastructure back beware what we wish for. We want all those funds to come down. Having said that, I think the effect and the ongoing effect of the stimulus money that was deployed in the last couple of years, it's continuing to have a significant impact on the islands consumers and that's going to start levelling off some time I would expect at the end of the year, and then we'll hope that we construction funds will start coming down as some of the product get approved and the federal government starts releasing those funds. So I think we have quite a bit of a runway here in terms of the Puerto Rico economy and the big question mark here is now how is inflation and supply chain and all those issues affecting. But I think on a relative basis, as I said, given the size of our economy and the size of the reconstruction funds, the mathematics tells me that on a relative basis, we will have better performance in some of the state in the United States
Timur Braziler: Got it. Okay. And then circling back to expenses. So in Maritza's commentary, it sounds like about $4.5 million versus last quarter might have been one time in nature. So I guess on the legal, lower legal expense, was that a charge in the other direction and that more or less normalizes in the second quarter, and then the two plus million of other items. Maybe you could just frame what a good starting point for expenses is in the second quarter, once we remove some of the noise from the first quarter numbers.
Jose Rafael Fernandez: So remember the first quarter, when we mention, when we talk about legal, and when we talk about some of the operating losses, it happened on the fourth quarter. So, that's the delta that you're seeing positively this quarter is because of that. And what Maritza mentioned earlier is that, if you net that out, that's the base where we starting, which is this quarters number, but when you look at going forward, we have some investments that we are making and we are probably going to see from a timing basis, we're going to see those expenses later in the second half of the year. So that's why we're making sure that you are all aware that we're making -- continuing to make the technology and the people investments to move our business model and accelerate some of the digital investments that we're been making for years.
Timur Braziler: Understood. Okay, great. And then last for me, just looking at allowance for loan losses, the ratio went down a little bit, but dollars of allowance actually increased for the first time kind of post CECIL. Have we found kind of a floor for dollars of allowance and the expectations should be that the ratio goes lower as loans get bigger, or is there incremental opportunity here to actually reduce allowance kind of releases later in this year?
Maritza Arizmendi: As it happens this quarter, the variable, the balance, the loan balance growing that variable adding to our allowance, it adds about $3.7 million. Also the qualitative adjustment, as the economy continues to improve, we continue to adjust them in a positive way because also the net charge off we do about our work that will impact the levels of allowance going forward. So, right now we are keeping our quarterly analysis and volume factor would be one element, but also the economic environment will continue to be an element that definite will make us reflect on how to manage it and probably if it continues to be positive, we will see that coverage going down, but that we are every quarter.
Jose Rafael Fernandez: Yeah, it's ongoing to more and it's how the equation works, but at the end of the day, what we're starting to see also on the consumer lending side is if you see this quarter, we saw around $4 million of net charge offs. We will have to cover for that. And if we go around the loan book also, so again, we, because we're optimistic with the economy, we're also optimistic on how we can continue to manage our asset side of the equation and particularly on the reserve.
Timur Braziler: Great. Thanks for taking my questions.
Jose Rafael Fernandez: Yep. Thank you for your questions.
Operator: It looks like we have another question from Alex Twerdahl from Piper Sandler. Your line is open.
Alex Twerdahl: Okay. Just a couple follows for me if it's okay. First off, Maritza, do you have the contribution to net interest income from the PPP in the first quarter?
Maritza Arizmendi: Well, it was really lower than prior quarters. I don't have it here with me, but I can share offline with you.
Jose Rafael Fernandez: Yep. I don't think it's meaningful.
Maritza Arizmendi: It is not meaningful.
Jose Rafael Fernandez: It's not a significant number, but Maritza can provide to you offline.
Alex Twerdahl: Okay. And then do you have in the mortgage banking line, do you have a breakout of the contribution from the sort of the NSR valuation adjustment versus just the mortgage banking volume?
Maritza Arizmendi: Yeah, the NSR valuation for the quarter was positive, but in a lower extent that the prior quarter and volume factor was impacted also because it was the portfolio is running down, but I don't have the exact amount, but the delta probably is around $300,000. I have to check that and I can go back to you on that number.
Alex Twerdahl: That was contribution of $300 swing from the prior quarter.
Jose Rafael Fernandez: Yes. $300,000 lower. Yeah.
Alex Twerdahl: Okay. And then just taking a little bit more into the reserve, you guys released $5.7 million for qualitative factors. Was that mostly due to Omicron or what kind of were the pieces of that contributed to that reserve release?
Maritza Arizmendi: I talked a little bit in the prepare remark that mostly relates to qualitative adjustment that we were doing, adding to the allowance related to unemployment levels in Puerto Rico. And as Jose mentioned it in unemployment has been necessarily going down and we have historical levels, which so it was for us longer necessary to keep that adjustment into the allowance.
Alex Twerdahl: Sorry, is there a component to the reserve that you could still sort of attribute directly to COVID that over the next couple quarters, that things continue not done with the way they have been, that could be released out of the reserve?
Maritza Arizmendi: Well, we do have a little bit adjustments that has been tied to the most recent development in the economic environment not only due to COVID, but other areas, and yes, we do have that within the quality, this element of the allowance.
Alex Twerdahl: Are you willing to share how much that is?
Maritza Arizmendi: I don't have it here with me, but probably we can share with you offline.
Alex Twerdahl: Okay. And then just a final question, the $2.8 million recovery on a PCD loan, I'm just curious if you can give us a little bit more color on what drove that?
Jose Rafael Fernandez: Yes. I can give you, yeah, I can give you color, this is a Social Bank acquired loan that we had written down and it was paid back to us as part of a government bankruptcy settlement. And we received from that settlement, I think it was $4 million bucks and the difference is what you're seeing there in terms of the recovery. So that's what it is. It's an Scotia legacy government loan that was in our books and written down to $1 million they paid us for and we got $3 million that's kind of how it works in general numbers.
Alex Twerdahl: So directly correlated to the bankruptcy exit. So in terms of kind of loans that were acquired from Scotia, from other institutions that have been marked down and with real estate values doing what they're doing, you could assume that you're going to see more recoveries in the future, but you wouldn't be able to point to this as sort of a leading indicator of that.
Jose Rafael Fernandez: Correct.
Alex Twerdahl: Okay. Thanks for taking my follow up.
Jose Rafael Fernandez: Yep. Thank you, Alex. Have a great day.
Operator: [Operator instructions] At this time, there are no further questions. I will now turn the call back over to Mr. Fernandez for closing remarks.
Jose Rafael Fernandez: Thank you, operator. Thanks to all for the hard work. Thanks to all our team members for their hard work and dedication to this great start of the year and thanks to all our stakeholders who are listening. Looking forward to our next quarter results. Have a good day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at this time. Have a great day.